Operator: Good afternoon, ladies and gentlemen, thank you for standing by. Welcome to the Big 5 Sporting Goods third quarter 2009 earnings results conference call. During today’s presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be open for questions. (Operator instructions) This conference is being recorded today, Tuesday, November 3rd, 2009. On the phone with us today with Big 5 Sporting Goods is Steve Miller, President and Chief Executive Officer; and Barry Emerson, Chief Financial Officer. At this time, I would like to turn the presentation over to Steve Miller. Please go ahead, sir.
Steve Miller: I will now turn the call over to Barry to read our Safe Harbor statement.
Barry Emerson: Thanks, Steve. Except for statements of historical fact, any remarks that we may make about our future expectations, plans, and prospects constitute forward-looking statements made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks and uncertainties that may cause our actual results in current and future periods to differ materially from forecasted results. These risks and uncertainties include those more fully described in our annual report on Form 10-K for fiscal 2008; our quarterly report on Form 10-Q for the second quarter of fiscal 2009; and other filings with the Securities and Exchange Commission. We undertake no obligation to revise or update any forward-looking statements that may be made from time to time by us or on our behalf.
Steve Miller: Thank you, Barry. We are pleased to report an outstanding third quarter financial performance. We believe that our ability to improve our key financial metrics, and what remains a challenging retail environment, reflects the strength of our business model and the commitment and hard work of our dedicated associates. In the third quarter, we achieved positive same-store sales, which combined with higher product margins and expense reductions, led to an 80% increase in net income. Our performance enabled us to generate over $47 million in operating cash flow for the first nine months of the year, a 61% increase from last year, and we reduced debt by roughly $40 million compared to the end of the third quarter last year. Now, let’s get into the details, beginning with sales. In the third quarter, we rang the register to the tune of $231.6 million in sales, up 3.8% from $223.2 million for the third quarter of fiscal 2008. Same-store sales increased 1.6%. This was our second consecutive quarter of positive same-store sales growth and our strongest quarterly comp since the fourth quarter of fiscal 2006. We experienced a slight improvement in customer traffic, while our average ticket remained virtually unchanged. Sales were generally consistent throughout the quarter, and we comped positively within a relatively tight range in each of the months of July, August, and September. We enjoyed nice summer weather in most of our markets during the quarter. From a product standpoint, our hard goods category continues to be the strongest performer, up mid-single digits for the quarter, as we benefited from the relative strength of our outer product categories and summer-related activities. Our footwear and apparel categories were both down in the low-single digit range, but this represents a nice improvement for apparel, which have been down in the high-single digits in recent quarters. I am also pleased to note that our merchandise margins increased 13 basis points from the same period last year, due to a combination of strong sales of higher margin summer product, cycling through product cost inflation, less clearance activity due to our clean inventory position, and a favorable opportunistic buying environment. On the expense side, our team continues to do a terrific job of controlling costs. For the quarter, we lowered overall selling and administrative expense by $0.6 million, despite operating 10 more stores than in the prior-year period. We remain pleased with our inventory management efforts, with total chain-wide inventories down over 6% at quarter-end from the prior year. On a per-store basis, inventories were down approximately 8% versus the prior year. As a result, our inventory turns continue to improve and we believe that we are well positioned for the holiday season with an attractive product assortment. Commenting on store growth, as expected, we did not open any new stores during the third quarter. Currently, we anticipate opening two new stores during the fourth quarter, which would lead to a year-end store count of 384 stores. Two stores that we had anticipated opening in the fourth quarter are expected to roll into 2010, likely in the first quarter. While we have not yet finalized our store growth plans for next year, we currently expect to open substantially more stores in 2010 than in 2009. Turning now to the fourth quarter, we are pleased that the positive sales trends we experienced in the third quarter have not only continued into the fourth quarter, but actually have accelerated. For the first five weeks of the quarter, same-store sales were up low-single digits over the prior year. We have also been pleased with the direction of our product selling margins thus far in the quarter. While we are encouraged by this momentum, it’s important to note that due to the normal seasonality of our business, these past five weeks represent one of our lowest volume sales periods of the year. In terms of the fourth quarter, the key selling date certainly are still ahead. As we think about the holiday season, we are well aware that the consumer environment remains highly unpredictable, and that weather during this period is always an uncertainty. That said, we believe that we are well positioned for success this holiday season. We are excited about our product assortment and promotional plans and expect to benefit from a number of opportunistic buys. Our ‘buy it right, and promote aggressively philosophy, that’s been a hallmark of our business and a driver of our success for nearly 55 years. We believe that our compelling value proposition and proven business model give us a strong competitive advantage in today’s market and should service well during the upcoming holiday season. Now, I will turn the call over to Barry, who will provide more information about the quarter, as well as speak to our balance sheet, our cash flows and provide guidance.
Barry Emerson: Thanks, Steve. Our gross profit margin for the third quarter was 33.9% of sales compared to 33.3% of sales for the third quarter of 2008. The increase was mainly due to slightly higher merchandise margins and lower distribution costs, as we have benefited from a reduction in the cost of fuel. These margin upsides were partially offset by an increase in store occupancy costs, primarily reflecting costs associated with the new store openings. We operated 10 more stores at the end of the third quarter compared to the comparable period last year. Our selling and administrative expense as a percentage of net sales improved to 28.2% in the third quarter versus 29.6% in the third quarter last year. The improvement reflects both higher sales and our continued cost management efforts, which enabled us to leverage expenses despite the higher store count. As Steve mentioned, on an absolute basis, our SG&A expense was down $0.6 million year-over-year. This reduction was primarily due to lower advertising expense, as we lowered our ad spend by $2 million during the quarter due to a combination of reduced frequency and distribution of ad circulars and lower printing costs. This decrease was partially offset by labor and operating costs to support the increase in store count. Now, looking at our bottom line, net income for the third quarter was $8.0 million or $0.37 per diluted share, compared to net income in the third quarter of fiscal 2008 of $4.5 million or $0.21 per diluted share. Briefly reviewing our results for the first nine months of fiscal 2009, net sales increased 2.0% to $657.9 million from $645.0 million during the first nine months of 2008. Same-store sales decreased 0.8% versus the same period last year. Looking at our earnings, for the first nine months of the year, net income was $15.4 million, or $0.72 per diluted share compared to net income of $10.3 million or $0.48 per diluted share for the same period last year, including a non-recurring charge of $0.04 per diluted share recorded in the second quarter of fiscal 2008. Turning to our cash flows and balance sheet, we generated cash from operations of $47.4 million for the first nine months of fiscal 2009, up 61%, compared to the $29.4 million reported for the comparable period last year. Despite an increased store count, our continued efforts to manage inventory levels enabled us to reduce total change inventory by 6.2% to $232.4 million from the end of the third quarter of last year. On a per-store basis, order and inventories were down approximately 7.7% from the third quarter last year. Looking at our capital spending, CapEx, excluding non-cash acquisitions totaled $3.2 million for the first nine months of 2009, primarily reflecting expenditures for one new store, store remodeling, and IT systems. As Steve mentioned, we did not open any new stores during the third quarter, and expect to open two new stores in the fourth quarter of this year. We have purposely reduced our CapEx investments this year to preserve capital in this economic environment. As a result, we now expect total capital expenditures for the full year, excluding non-cash acquisitions of approximately $7 million. We continue to maintain a very strong financial condition. With our long-term debt, at the end of the third quarter, down 40% to $59.7 million compared with $99.9 million at the end of the third quarter last year. While we continually evaluate the best use of our capital, we believe that preserving our capital and paying down debt represents the best use of our free cash flow in this economic environment. I want to briefly comment on the situation with CIT, the administrative agent and primary lender under our revolving credit facility. The CIT Group, Inc., the parent company of our lender filed for bankruptcy protection over the weekend, with a prepackaged plan of reorganization. The CIT group has stated publicly that none of its operating entities, which would include our lender, will be included in the bankruptcy filing. And that all operating entities are expected to continue normal operations during the bankruptcy proceeding. Now, I will spend a moment on guidance. First, we acknowledge that there clearly remains a degree of uncertainty about what impact the overall economic environment will have on the upcoming holiday season. That being said as Steve mentioned, we are encouraged by our sales trends and the manner in which we positioned ourselves for the season. Our fourth quarter guidance calls for same-store sales to be in the positive low to low mid-single digit range and earnings per diluted share to be in the range of $0.28 to $0.38. This would result in earnings per diluted share for the full fiscal year in the range of $1 to $1.10. For comparative purposes, earnings per diluted share for the fourth quarter of fiscal 2008 were $0.17 and earnings per diluted share for the fiscal 2008 full-year were $0.64, including a $0.04 one-time charge. As a reminder, due to the fiscal calendar, the fourth quarter of fiscal 2009 will include 14 weeks, and the fourth quarter last year included 13 weeks. Our same-store sales guidance reflects comparable 14-week periods. Operator, we are now ready to turn the call back to you for some questions and answers.
, : Now, I will spend a moment on guidance. First, we acknowledge that there clearly remains a degree of uncertainty about what impact the overall economic environment will have on the upcoming holiday season. That being said as Steve mentioned, we are encouraged by our sales trends and the manner in which we positioned ourselves for the season. Our fourth quarter guidance calls for same-store sales to be in the positive low to low mid-single digit range and earnings per diluted share to be in the range of $0.28 to $0.38. This would result in earnings per diluted share for the full fiscal year in the range of $1 to $1.10. For comparative purposes, earnings per diluted share for the fourth quarter of fiscal 2008 were $0.17 and earnings per diluted share for the fiscal 2008 full-year were $0.64, including a $0.04 one-time charge. As a reminder, due to the fiscal calendar, the fourth quarter of fiscal 2009 will include 14 weeks, and the fourth quarter last year included 13 weeks. Our same-store sales guidance reflects comparable 14-week periods. Operator, we are now ready to turn the call back to you for some questions and answers. Now, I will spend a moment on guidance. First, we acknowledge that there clearly remains a degree of uncertainty about what impact the overall economic environment will have on the upcoming holiday season. That being said as Steve mentioned, we are encouraged by our sales trends and the manner in which we positioned ourselves for the season. Our fourth quarter guidance calls for same-store sales to be in the positive low to low mid-single digit range and earnings per diluted share to be in the range of $0.28 to $0.38. This would result in earnings per diluted share for the full fiscal year in the range of $1 to $1.10. For comparative purposes, earnings per diluted share for the fourth quarter of fiscal 2008 were $0.17 and earnings per diluted share for the fiscal 2008 full-year were $0.64, including a $0.04 one-time charge. As a reminder, due to the fiscal calendar, the fourth quarter of fiscal 2009 will include 14 weeks, and the fourth quarter last year included 13 weeks. Our same-store sales guidance reflects comparable 14-week periods. Operator, we are now ready to turn the call back to you for some questions and answers.
Operator: (Operator instructions) Our first question is from the line of Rick Nelson with Stephens, Inc. Please go ahead, sir.
Rick Nelson – Stephens, Inc.: Thank you and good afternoon, guys.
Steve Miller: Hi, Rick.
Rick Nelson – Stephens, Inc.: I certainly know about the guidance. Prior to the downturn, the fourth quarter was – how was your biggest quarter from a tails and profit standpoint? Is there something you see, now that I would put the fourth quarter this year below the third quarter report, particularly given the change in the calendar of 14 weeks?
Steve Miller: Rick, it’s a tough call. In the fourth quarter, of course, the October and November time frame is typically our lowest sales months of the year. And then, of course, we have the holiday in December. So, that kind of offsets one another. We also incur substantially higher cost in the fourth quarter, labor in particular, but also our advertising costs are typically higher in the fourth quarter as well. So, that really kind of explains it there.
Rick Nelson – Stephens, Inc.: Could I ask you also how you are thinking about store openings for next year? I know you mentioned that’s substantially higher. Is that fine going back to your more normal store opening standards of 18 to 20 stores, or might we think about something substantially higher than that?
Steve Miller: Rick, we haven’t finalized our plans yet in its entirety for store opening in 2010. As we indicated, we intend to open substantially higher, I expected to be a double-digit number, whether it is after our more historical growth rate of 6% or naught, it’s yet to be determined.
Rick Nelson – Stephens, Inc.: And also, I know you towed out opportunist tech buys as a contributor to the product margin improvement in the third quarter. How those availability look there as we head into the holiday season and what are your thoughts about product margins in the fourth quarter?
Steve Miller:
Rick Nelson – Stephens, Inc.: And finally, I could ask you about the outdoor category. I know you mentioned that scenario of strength. Were firearms the driver there and what are your thoughts against the tougher comparison of fourth quarter?
Steve Miller: No, I mean, firearms a positive and helpful to the outdoor product category, but we really experienced positive results in a broad array of outdoor and summer-related product categories. There’s really a strength of ours for the third quarter. Clearly, we are going to be anniversarying a stronger firearm numbers, arguably getting today as I guess comp against the election of a year ago, and so I think so rightly note that as a pretty strong influence on firearms sales. Although we made the challenges some regards to comp those numbers, most of the fourth quarter last year, most other categories were running very poorly, and we are seeing positive momentum in a number of categories that we think are more than offset whatever impact comes from firearms.
Rick Nelson – Stephens, Inc.: Thanks, Steve and Barry. I will get back.
Steve Miller: Thank you.
Operator: Thank you. Your next question comes from the line of David Magee with SunTrust Robinson Humphrey. Please go ahead.
David Magee – SunTrust Robinson Humphrey: Hi guys and good quarter.
Steve Miller: Thank you.
David Magee – SunTrust Robinson Humphrey: A couple of things. I was intrigued by what you said with regard to advertising, the less frequent and whatnot, is that any change gain a little bit for when things are getting better from a macro sense that you can maybe be more efficient in advertise – wholesale target?
Steve Miller: We will see. I mean, whether the ad reductions are coming or not, we are not certain. I think if we feel we can continue to drive sales with reduced ad dollars, obviously that’s something we would like to do. I think if the overall climate suggest that we can further drive bottom line performance by pressing advertising, then as we have demonstrated historically, that’s certainly something we are comfortable pursuing as well.
David Magee – SunTrust Robinson Humphrey: Thanks. And you mentioned that you made some special buys and that looks good as far as the marketing visibility, what are you seeing out there right now with regard to the pricing environment from others? Is it relatively tamely or how would you describe that going into the holidays here?
Steve Miller: I think it’s reasonably consistent. Certainly, last year was – I think the promotion was barb and what I would characterize as highly irrational, wildly irrational, would seem to be almost hard to outdo that factor this year. This year, we won’t be facing the going out of the business sales that we did last year. Last year, there were number of going out of business sales, most notably the Mervyn’s and Shopper Williams [ph] that were occurring during the fourth quarter. We certainly heard that some number of retailers have trimmed their inventory position, so maybe they will be perhaps more rationale in their pricing, but always the fourth quarter, and we anticipate we will become pretty promotional, and that’s what we are expecting.
David Magee – SunTrust Robinson Humphrey: Great. Thanks a lot, Steve.
Operator: Thank you, our next question comes from the line of Sean McGowan with Needham & Company.
Sean McGowan – Needham & Company: Hi guys, I have a couple of question as well, thanks. Can you give us some help with the understanding what the effect is of that extra week, the last week that gets fact on us materially, smaller than the weak before it.
Steve Miller: Yes, Sean. The extra week occurs really once every five to six years based on our fiscal calendar. It’s difficult to precisely quantify the impact of that week. The week falls over the New Year’s holiday, so sales volumes could fluctuate considerably depending on our winner, weather. At the end of the day, this could be in the neighborhood of adding, say a penny or two to earnings for the quarter.
Sean McGowan – Needham & Company: It’s expected to be a profitable week, right.
Steve Miller: Yes, like we said, it is expected to add a penny or two or so to bottom line profits.
Sean McGowan – Needham & Company: Okay, that’s helpful. Thank you. Would you expect at this point, there’s lot of quarters left to go, but just sort of ballpark, will you expect that the effect on the fourth quarter would be that you could actually have positive same-store sales for the full year?
Steve Miller: It’s certainly possible, absolutely.
Sean McGowan – Needham & Company: Okay. To dovetail on the previous question about advertising, I just wanted to make sure I am hearing you correctly, are you saying that you shifted from advertising from the third quarter to the fourth quarter, or you think you might be kind of at least temporarily at a lower overall level even for the fourth quarter?
Steve Miller:
Sean McGowan – Needham & Company: Okay. That’s helpful. Two other quickies. Looking at – given the extra week in the fourth quarter, and the fact that there will be some extra stores, would you beat your expectation that you could show any decrease in SG&A in the fourth quarter, or should we expect it to be up at least modestly?
Steve Miller: Yes, we should expect it to be up in the fourth quarter over the prior year.
Sean McGowan – Needham & Company: Okay. And then last question, tax rate seems to have kind of fluctuated a bit this year. If we take for the nine-month rate, is that the best guess for what the fourth quarter rate would be?
Steve Miller: Yes, Shawn, I had used 38.2% for the full year.
Sean McGowan – Needham & Company: Okay. Thank you very much. I appreciate it.
Operator: Thank you. Your next question comes from the line of Reed Anderson with D.A. Davidson. Please go ahead.
Reed Anderson – D.A. Davidson: Good afternoon. Most of my questions have been answered, but just a couple. First of all, Barry, could you just talk a little bit more of our stand on the idea of kind of the longer term opportunity to leverage distribution, because it sounds like in the third quarter, mainly what you saw, there was more a function of fuel, but obviously, you have got the new DC, you have got a lot of potential capacity there. As you start ramping up store growth again, my sense would be there is a nice opportunity, if you just talk to that a little bit, remind us what the opportunity might be?
Barry Emerson:
Reed Anderson – D.A. Davidson: You can have the detail then.
Barry Emerson: Absolutely. We are experiencing improved or lower fuel costs, but we are experiencing lower cost kind of overall as a distribution center as we have indicated to the last couple of years, and in terms of reducing on a quarter-by-quarter basis, and that’s really because we are being one more efficient, lot more automation at the distribution center. Of course, with our volume, we have been reducing our labor cost at the facility as well. But nevertheless, this facility is almost twice as large as our former facility, almost 1 million square feet. At this stage when we first opened that facility, we added about 100 basis points to cost, we have now, for the most part, brought that back down in line where it was, even pre-distribution. And as we are leveraging, we are clearly leveraging those costs today, and we think this facility will service our needs for the next five plus years depending on store growth, that’s clearly say for the next 100 to 120 stores. So, we really believe we are going to be able to leverage this significantly as our sales turn around. But we are also leveraging our expenses at negative comps today. So, I think you are going to see leverage on the bottom line. As sales turn here, knock on wood, and we see that playing out pretty well for us from a leverage standpoint.
Reed Anderson – D.A. Davidson: Okay. That’s very helpful, thank you. And then on inventory, just kind of looking at the timing of when you really started to get the reductions in place here over the past several quarters, my sense would be, would you still see inventory year-over-year down in the fourth quarter, is that right, and if so, can you just give a sense of magnitude?
Barry Emerson: We have done a great job in reducing inventory in 2009, and we think we are in a very strong position for the holidays. We expect our inventory to be down on a per-store basis at year-end compared to the prior year. A lot of this, of course, will depend on how the season plays out and what opportunistic buys, so we take advantage of between now and the end of the year. But there’s always room for fine-tuning, and we will continue to do that.
Reed Anderson – D.A. Davidson: Okay. Good. Thanks very much. Good luck.
Steve Miller: Thank you.
Operator: Thank you. Our next question comes from the line of Kristine Koerber with JMP Securities. Please go ahead.
Kristine Koerber – JMP Securities: Hi, just a question regarding your store opening plan, the two stores that you are planning in the fourth quarter, where will they be located, and I know you haven’t finalized your 2010 store opening plan yet, but can we assume that stores are kind of split inside of California and outside of California?
Steve Miller:
Kristine Koerber – JMP Securities: Okay. And then just as far as geographic trends during the quarter, any inconsistencies during the quarter or was it pretty much consistent?
Steve Miller: I mean, logically, we always have some areas that are performing better than others. For competitive reasons, we don’t ever get overly specific in geographical performance.
Kristine Koerber – JMP Securities: Okay, thank you.
Operator: (Operator instructions) Our next question comes from the line of Anthony Lebiedzinski with Sidoti & Company. Please go ahead.
Anthony Lebiedzinski – Sidoti & Company: Good afternoon guys. I was wondering if you could just expand a little about the product assortment that you talked about in your press release that you actually – are you actually planning to have any new products that you are particularly excited about, and then also touch on what your promotional plans, how are they different than a year ago?
Steve Miller: We have a lot of products that we are very excited about for the fourth quarter. I mean, for competitive reasons, we are not going to be specific. In terms of number of opportunistic buys that we made that we feel will help drive business in the fourth quarter. What was the second part of the question?
Anthony Lebiedzinski – Sidoti & Company: The promotional plans, how different is it or not, or maybe it’s not different than a year ago.
Steve Miller: We have certainly tweaked and made some adjustments and then in terms of our ad calendar and some promotional days around, I mean it always changes, the Christmas holiday moves from year-to-year. So, we have made, we think that some changes in page counts and particular ads in the like, and we feel we have a very strong promotional calendar that we believe can drive business.
Anthony Lebiedzinski – Sidoti & Company: Okay. And then in terms of the advertising, I assume it’s still primarily by the newspapers and circulars, right?
Steve Miller:
Anthony Lebiedzinski – Sidoti & Company: Okay. And I may have missed this, but what was the year-to-date free cash flow so far?
Steve Miller: It’s still over $47 million, Anthony.
Anthony Lebiedzinski – Sidoti & Company:
Operator: Thank you. Our next question comes from the line of Adam Sindler with Deutsche Bank. Please go ahead.
Adam Sindler – Deutsche Bank: Hi guys, all of my questions have been answered. Thank you.
Operator: Thank you. Our next question comes from the line of Sean McGowan with Needham & Company. Please go ahead.
Sean McGowan – Needham & Company: Thanks. A follow-up, could you talk broadly, Steve, about the phenomenon of trading down and how much you think that’s helping and how sustainable you think that will be? I know it’s a crystal ball type question, but do you have any kind of data or analysis that suggests that you have been a big beneficiary of that?
Steve Miller:
Sean McGowan – Needham & Company: I guess what I am looking for is, maybe you don’t have any way of quantifying it, but have you seen a recovery in kind of the core traditional consumer, or are you just seeing a lot of consumers who may be in the past; we are not shoppers of Big 5 and then now are?
Steve Miller: I mean to be honest, Sean, we really can’t quantify that. I mean, we think that we are certainly seeing improvements in traffic. I mean, in the third quarter, our increase was really traffic-driver. Thus far we have continued in the fourth quarter to see improvements in traffic. So, we certainly think that we believe to be are competitive advantages over service [ph] very well, and that’s the fact that we don’t just open our doors and hope to win those customers in. We are aggressive advertisers. We present value to the consumer, 52 weeks a year, and we believe we have a very unique product mix that allows us to achieve dry trap, yet still achieve industry-leading gross profit margins. Certainly, I think we are benefiting from a more rationale competitive environment. We are facing fewer doors in our marketplace than we were a year ago. So, I think we have a lot of things that are working well for us, and I think it’s logical to believe that we are gaining new customers, maybe we are reuniting with the former customers, but clearly, we are performing well in this current environment.
Sean McGowan – Needham & Company: Thank you.
Barry Emerson: Let me clarify one thing. Anthony, you had mentioned free cash flow, and I had given you – what we had mentioned was operating cash flow. So, our operating cash flow year-to-date was $47.4 million and our free cash flow year-to-date, through the end of the third quarter was $44.2 million.
Operator: Mr. Miller, there are no further questions at this time.
Steve Miller:
Operator: Ladies and gentlemen, this concludes the Big 5 Sporting Goods third quarter 2009 earnings results conference call. If you would like to listen to this conference in replay, please dial 303-590-3030 or 800-406-7325, and your conference ID number 4176116. Thank you for your participation, you may now disconnect.